Operator: Hello and welcome to the Scorpio Bulkers Incorporated third quarter 2016 conference call. Today’s conference is being recorded. I would now like to turn the call over to Hugh Baker, Chief Financial Officer. Please go ahead, sir.
Hugh Baker: Thank you, operator. Thank you for joining us today. On the call with me are Emanuele Lauro, Chairman and Chief Executive Officer; Robert Bugbee, our President; and Cameron Mackey, our Chief Operating Officer. The information discussed on this call is based on information as of today, 31st of October, 2016 and may contain forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release that we issued today, as well as Scorpio Bulkers’ SEC filings which are available at www.scorpiobulkers.com. Call participants are advised that the audio of this conference call is being broadcast live on the Web and is also being recorded for playback purposes. An archive of the webcast will be made available on the investor relations page of our website for approximately 14 days. Now, I’d like to introduce Emanuele Lauro.
Emanuele Lauro: Thank you, Hugh. And good morning, everyone. We appreciate you taking the time to be with us today. The third quarter of 2016 has kept with our expectations for our company. The dry cargo market, it’s still depressed. The supply and demand imbalance is still putting a break on the gradual recovery. The macro uncertainty from a political as well as an economic standpoint is certainly impacting the moods of our different layers of stakeholders, from investors and shareholders to consumers and, of course, producers. US and other major European economies’ political elections are big contributors to this uncertainty, as we speak. As far as our balance sheet is concerned, we have managed to implement a few of the non-equity adjustments that we were referring to in our last earnings call, and we have to thank our commercial lenders for it who have contributed to further strengthening our balance sheet. Between this latest favorable amendments and the fact that the majority of the fleet has now delivered, we can focus on operations and we have started a broad study of our operational efficiency, with the aim of improving our headline revenue to the markets. We shall continue to put a high priority on safety and environmental compliance, customer service and better standard of maintenance, but we’ll also seek to do that efficiently. As far as employment of our fleet is concerned, not much has changed in the long run. For the short term, we have taken the view of seeking some coverage for the first quarter of next year and fixed [indiscernible] investors on period business, majority of which will re-deliver to us at the very end of the first quarter or the beginning of the second quarter of 2017. A few more ships or fixtures have been worked by our commercial department as we speak, so the fixture may go up by a couple of ships. This is simply because, historically, the first quarter is the weak quarter of the year and we wanted to eliminate uncertainty as much as possible. The big question of when the market would recover remains unanswered. However, we focus on ensuring we will be able to participate in this recovery when it happens to the benefit of the company and our shareholders. As we have said before, our balance sheet is prepared for an extended weak dry cargo market, whilst our modern fleet is well positioned to benefit from any rate recovery. Thank you once again for your attention. And I will now turn the call to Robert Bugbee.
Robert Bugbee: Thanks, Emanuele. Just to echo that we’re still working on coverage, just the housekeeping. About half an hour ago, we fixed the SBI Cronos for five months at $9,000 a day. This is not reflective of any weak market. Quite the opposite, this vessel has a weaker delivery position and stronger re-delivery. I think what’s happened in the last two weeks is really exciting. It’s really exciting that SALT is able to fix in what is traditionally the weakest quarter of the year. Rates for some of the vessels are above all-in cash breakeven. That’s a very, very important step in the progress of the company. It’s really exciting that we no longer have to worry about runway, and can fully focus on operations. And I think – even though Emanuele and the company has no sort of judgment really on when the inflection points of recovery is, I think it’s important to say a couple of things here. It’s very clear that the general confidence in the dry cargo market is improving. That’s shown in two aspects. Away from the public companies, we have a private market which is still the biggest part of the dry cargo market actively clearing the sale and purchase market. There are numerous transactions in the sale and purchase market. And although we haven’t seen a – sort of a significant move upwards as vessels are clearing at or above slightly above prices of a month ago. The second aspect is that we’re seeing tremendous discipline from lenders, lenders that are willing to support the top of the book. And they’re actively engaged in taking vessels away from the bottom quartile of the market, creating a lot of discipline here. We continue to see a lack of yard holders and we continue to see yard capacity shrinking. And we’ve recently, if you’re an owner of a new fleet, kind of couple of things, whether it’s the dirty water ballot or EMR [ph] regulations that are long-term favorable to a new fleet. But most of all, we have this sort of situation where the market itself seems to be ahead of our own projections. There is no way in June that we would have thought that the fourth quarter of 2016, we probably would end up with market rates at or above that of 2015. There is simply no way that we would have expected that we could be sitting here with 14 vessels fixed in the rates they are, covering us through the first quarter. So regardless of us keeping sort of a non-conventional view to the market, both the sale and purchase market expressed by cash private buyers and the charter market as expressed, 14 ships is not a one-off event. 14 ships is a lot of ships in a two, three-week period to multiple charterers and multiple customers. But those customers are clearly showing that they can feel the requirement based on the form of coverage. With that, I’d like to pass it over to Hugh.
Hugh Baker : During the quarter, we continued to work with our lending banks to increase the company's flexibility in a challenging earnings environment. We received approval from our lenders to extend the existing waiver of our interest coverage covenant until the end of 2018 and for it to be set at a lower level of one-to-one for the first six months of 2019. We have again agreed with lenders to prepay certain debt facilities in exchange for the deferral of scheduled repayments. In this case, we have agreed to prepay $24.4 million in exchange for the deferral of future scheduled repayments amounting to $48.8 million. In most cases, this pushes the date for repayments to be made into 2020. For the remainder of 2016, we're anticipating repayments of $0.5 million; in 2017, it is $15.7 million; and in 2018, it is $24.6 million. And most of the improvements that we just announced will actually be seen in 2019 and 2020, which are years we’re now focusing on. We agreed to extend the maturity of one of our credit facilities, which matured in mid-2019 and we’ve extended it to late 2020 with. We have no bank loans maturing before 2020. We’ve also agreed to various technical changes in our loan covenants, specifically the net worth and leverage covenants that ensure that these covenants would only be breached or triggered at much lower levels, levels not projected to be met at all if current rate levels are maintained. I would like to point out the company is in compliance with all its covenants under its debt facilities. This includes the value-to-loan ratios, which usually get tested semi-annually. We have voluntarily tested them as of September this year and we are in compliance. In the presentation of supplemental information, we've uploaded on to our website, you can view the compliance for this key covenant on a loan by loan basis. In conclusion, we expect the company to maintain high levels of liquidity well into 2019 on the basis of prevailing rates being maintained. Our confidence in maintaining this position has been assisted by the announcement discussed earlier about the 14 short-term fixtures, which fixes revenue for a proportion of our fleet through the traditionally weakest quarter of the year. With that, I’d like to open up – we’d like to open up the call to questions.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Magnus Fyhr with Seaport Global. Please go ahead.
Magnus Fyhr: Hey, good morning. Just a question on the, I guess, chartering strategy going forward here. You said locking in – based on the deferments that we’re seeing in the market and locking in more charters over the next month, what should we expect, in 2017, as a kind of a mix on spot versus charter? I know those charges are relatively short-term.
Emanuele Lauro: I think we would – we do overall believe that once you get into the back end of the second quarter of 2017 that you’re going to see some improvement on the charter market. I think, right now, the strategy is very simple. We are stopping any form of the cash bleed by these fixtures. These are rates that are – whenever you are in a situation when you’re trading so much below net asset value and you are able to fix vessels over what is considered the weakest quarter of the year at not just above your all-in cash breakeven at around 8, but you’re also able to beat significantly the forward curve, beat significantly the fourth quarter so far to-date. That’s a good thing. But we are, obviously, constructive on the dry cargo market once we get out of this first quarter. So, all we’re doing is saying, we think this first quarter has the most risk of the move to downside below OpEx breakeven. So, let’s just take the charters now.
Magnus Fyhr: Okay. You’ve been playing defense for most of the last two years. You have two vessels chartered in in your fleet. What should we expect that – could you – is that something you feel comfortable with now, just the size of your fleet or could we…?
Emanuele Lauro: Well, I think that the…
Magnus Fyhr: Market improves that you go charter in ships?
Emanuele Lauro: Well, I think that the – you have to do things in a step by step basis here. I think those two ships are running off actually pretty quickly. They’re at pretty high rates. We know one is finishing earlier than the others, but they’re going soon. I think that – it’s very clear that once our fleet – our fleet right now is pretty substantial. We have enough room to get information. We have critical size. And the object right now, obviously, is to charter out these type of rate positions. We have enough operating leverage. There is a lot of operating leverage in the company, especially once we get to that second quarter when we have a fully delivered fleet of 48, 49 vessels.
Magnus Fyhr: Okay. I guess, you sold out your cape sizes. Has your view changed there at all that you like the composition of the fleet now or…?
Emanuele Lauro: No, we really like the composition as a fleet at the moment. You’re seeing proportionally pretty good rates at the moment. You’re seeing pretty good demand. If we look at this sort of in an optimistic way, you can’t have the smaller vessels. The smaller vessels aren’t dependent on just one cargo, iron ore or coal. They’re an indicator that the world economy is working because they have such a high diverse cargo position. I think the – literally that. This is a situation taking step at a time. We’re trading significantly above – below NAV. All we have to do to squeeze that position out is to slowly, slowly eliminate the cash bleed position. And the dynamics of that – the markets we’re in, I think, are favorable to that happening quicker, simply because of the diversity of the cargo it’s carrying.
Magnus Fyhr: Okay. One last question, maybe for you about the remaining ships. You’ve got $90 million available on the revolver, about $100 million left to spend. How much equity should we expect on the last ships?
Hugh Baker: Not much. Not much is the answer. We are very confident, and I’m always cautious about using that word, but we’re very confident that the $90 million that we can draw against the value of those ships is the amount that we will draw. And therefore, the equity position is, obviously, the debt that we have, the $90 million of debt, the difference between the $90 million of debt and the amount that we have remaining to pay. So, it’s not a – it’s a very small equity check.
Magnus Fyhr: Okay, thanks. That’s all I had.
Operator: Moving on, we’ll take our next question from Jon Chappell with Evercore ISI.
Jonathan Chappell: Thank you. Just two quick ones. First for Hugh. You’ve, obviously, accomplished an awful lot with all of your facilities as far as deferring the payments and also getting covenant waivers or changes. Is there anything left for you to do or have you done as much as you can do at this point and now it’s just kind of preparing operationally then for the recovery?
Hugh Baker: Jon, I think the focus is absolutely to prepare for the recovery and to work on operational improvements of the business, and that’s something that we’re very focused on doing. That being said, our job is never finished, and yes there are many things that we continue to do and will continue to do going forward to improve the capital structure of the company.
Jonathan Chappell: And will that be kind of continued prepayments for deferrals, would be getting the covenants lowered for an extended period of time? Where is your main focus right now on the remainder of the facilities?
Hugh Baker: I think that the – because the covenants have been pushed out really quite a long way forward, we actually, at this current point I time, probably won’t be able to push them out until a little bit more time has passed. But, again, we like to have the covenants at least two-and-a-half to three years out and we like that visibility. So, I think that you will at some stage see further work from us on that. And again, in terms of the prepayments in exchange for deferments, that is something that I think we will continue to do as a company because I think these are transactions that are very favorable to us and our position. But, again, the real focus is absolutely on the improving operational efficiencies both in terms of operating costs and revenues.
Robert Bugbee: I think, Jon, just to follow-up on what Hugh is saying, you’ve created a balance sheet now that now not just is solid, really solid in terms of runway, so solid that we can come away and focus on the operations. But the reality is, is that we said on the last conference call that we’re trading at a significant discount to NAV and we need to do better about that. Insiders are going to need to accumulate stock. We’re very aligned with the shareholders. We’re insiders in total now, solidly in excess of 25% ownership with the company. And what this balance sheet does is allows you a lot of different things. You can – you want to get to the point in your next financing position where you can really benefit from the strength and you’re perhaps doing this on this uptick in terms of rates and cash flows. And in the meantime, we have a lot of different options, especially as we’ve removed the friction cost related to selling assets. You have a fantastic fleet. You have a big fleet that – we have a lot of flexibility now in the balance sheet. Selling one or two assets really wouldn’t matter.
Jonathan Chappell: Right. That makes sense. My second one then, just – I think it’s a little bit technical, but trying to understand how this is going to flow to the P&L. You have this one chartering ship that expires early January, but then you also have this two years of remaining P&L associated with that. How did that work? Is that still going to flow through chartering expense and then there’s another line item that has the profit or loss impact from that charter?
Hugh Baker: No, I’ll let Michael take that one.
Unidentified Company Representative: While we have that agreement in place, I don’t really know the specifics [indiscernible] as to whether we’re going to charter it in and then split with the profit and loss or if the other party will be chartering it in and split the profit and loss [indiscernible]. Well, at this point, we’re not exactly sure how it’s going to roll through the P&L until [indiscernible].
Jonathan Chappell: But someone’s definitely going to do it. There’s no way to get out of that two-year extension of the contract?
Unidentified Company Representative: Correct.
Jonathan Chappell: Okay. That’s all I have. Thanks, Michael. Thanks, Hugh. Thanks, Robert.
Operator: Moving on, we’ll take our next question from Amit Mehrotra with Deutsche Bank. Please go ahead.
Amit Mehrotra: Hi. Thanks, everybody. Thanks for taking the question. Just first, one quick housekeeping item, Hugh, I guess, the $101 million of newbuilding payments, what percentage of that does that represent of the purchase price of vessels? I’m just trying to gauge if there was any significant predelivery equity payments, which is why the prospective funding will be – or maybe disproportionately debt financed?
Hugh Baker: Well, firstly, the debt finance is based on current market values. We’ve been pushing down the amount of debt finance over the last 12 months, so that the amount that we can draw actually reflects the current market value of the assets. In terms of the equity check, the equity check is very much the amount of the newbuilding payments, plus – less the debt we can draw. Obviously, that equity…
Amit Mehrotra: But, I guess, if you look at the whole thing, it’s still 60/40 debt equity finance, right, in terms of those vessels?
Hugh Baker: Yes.
Amit Mehrotra: Okay, got it.
Hugh Baker: Yes, it is.
Amit Mehrotra: Okay, thanks. Second question just relates to normalized earnings power, given the -- I guess the new profile of the fleet and really sort of talking about as it relates to the average size of the each of ships as opposed to the total fleet size, which, obviously, has come down over the last couple of years. So, Emanuele or Robert, when you just look at past cycles and how past cycles sort of emerge the deepest of downturns, where do you peg the normalize level of earnings for the company relative to $6,000 to $7,000 TCE that you guys in the quarter. And just so we can get a little bit of sense on how to value this company on a steady-state basis, now that maybe some of the near-term existential risks are off the table?
Emanuele Lauro: Well, I think that there is nothing really called normal in the dry cargo market. But I think that it’s the most difficult. Your first point would be that you have to at least over time when there’s such a long-term correlation between world GDP growth and demand, you have to at least over time have a situation where rates return to the cost of capital on newbuildings. That rate is somewhere up in the $15,000, $17,000 a day range. You can then look at where the markets have – you could go through and look at where the markets have been ten-year averages or 20-year averages. What is clear right now is we’re going through a market cycle that is – that has not been seen since the early 80s where there was 40, 50 year lows. And if you’re looking at earning – actual valuation power, even if you move this up $5000 a day from $8,000, so you moved it up $5,000, so into $13,000 which is at the low end of each of those points or what traditionally would think about normal earnings, 5,000 times approximately 50 ships is $250,000 a year for – that’s a lot of money now.
Amit Mehrotra: Yeah. Well, it’s double basically from where it is today.
Emanuele Lauro: Well, it’s a bit more than that. It’s a bit more than that. Because if you had to take $250,000 a day, that’s – you’re going to put a multiple. And if you’ve got $250,000 a day, the NAV moves up, the balance sheet stops getting even that way.
Amit Mehrotra: Yeah, so that was – that’s a good segue to my last question. And if we do see the slow and steady recovery, albeit maybe it will be lumpy or volatile, especially in the first quarter of next year, but if we do see the sort of overall slow and steady recovery, your balance sheet or the company’s balance sheet is kind of mark-to-market, I would say, at the lowest point in the cycle, and so, theoretically, every incremental or dollar increase in asset value should actually accrue to equity holders or drop down to the NAV. And so, I’m just trying to understand how you guys react to that and could we see further asset sales as a way to crystallize that value if you do see rates going up and the NAV further increasing. At the same time, it could also give you more capacity to be opportunistic as it relates to some of the weaker players in the market. So, I’m just trying to understand how you do react to the opposite problem.
Emanuele Lauro: Okay. So if you’re describing a scenario where asset values and rates have gone up and stock has stayed the same, right, then, yeah, obviously, that brings up a whole host of things that you would expect that – your expectation at the moment is that your stock price really starts to close this steep discounted position to present NAV for two reasons, one because you actually have an NAV that’s real because of the transactions going on in the sale and purchase market, two, because the company has clearly got very long extended runway to the market and, three, because it is starting to eliminate the cash bleed through a combination of forward fixtures in on, hopefully, a forward market. But it’s a hypothetic. If the market stays weak – if the market itself stays weak and the NAV is still discounted, then, yes, you’ve got the option to sell a couple of ships and verify that. If the market stops moving, there’s actually no reason to think why you flip it. The normal tradition is that once the dry cargo market starts moving upwards, your stocks actually start to trade above NAV. So, you’ve got to react to wherever the situation is at the time. [indiscernible] Scorpio Bulkers has that’s very low cash cost market point breakeven. It’s great longevity of time period. A very liquid modern desirable fleet that is beneficial not just for sale and purchase, but also, as you’ve seen, customers want back in the time charter market. And a balance sheet that you can be – afford to be flexible now. It’s that sort of simple. Plus, you – it’s pretty clear that management and insiders are squarely there – we’re not in the save-the-company mode. We’re in the let’s-get-selfish-and-make-money mode.
Amit Mehrotra: Okay. That’s all I had. Thanks for taking my questions.
Emanuele Lauro: Thanks.
Operator: And moving on, we’ll take our next question from Ben Nolan with Stifel. Please go ahead.
Ben Nolan: Yeah, thanks. Really just had two questions. The first is, with all of these incremental new charter agreements that you have in place, how are you thinking about the development of the pools going forward? Does this at all change that dynamic? Does smaller number of vessels available for the pool reduce their market position there? I don’t know. How shall we think of [indiscernible]?
Robert Bugbee: The good thing is that the Scorpio Bulkers, it doesn’t actually have that number of pool members. 95% of the vessels are the actual Scorpio Bulkers ships. I don’t think that the – we’re not there to build the pools. I think that it’s probably going to be pretty difficult anyway even if you wanted to build the pools to do that because there aren’t that many ships out there that are now sort of in that distress that have the quality of these vessels. And dry cargo, we’ve got that critical mass at the moment. So, the building of the pools will come over time. Over time, as you prove to other companies to lenders that your operational record is strong. But at the moment, I wouldn't really consider the pool part of it as a factor.
Ben Nolan: Okay, that’s helpful. And then my next question, maybe for Hugh is can you maybe talk me through the nature perhaps of the negotiations or the adjustments that were made with the lending group? Obviously, the banks have their hands full with a lot of situations now. Was it difficult to get the adjustments made that you did or were they somewhat more fatalistic, in that they have bigger fish to fry, so to speak? Just curious how – if you can maybe frame in how that…
Emanuele Lauro: It’s one first. Okay. So, first of all, for a long time, but always, the Scorpio group, whether it’s in tankers or in bulkers, has taken a partnership view to its lenders. We have seen them as an important partner in the capital structure. We have never – never put them over the barrel with the – we have created trust and that trust has been responded well with the company – the management will deal with life proactively, that we will see our responsibilities to the debt side very well. Now, in return, the lenders are placing that trust in management and are really cooperating and being fantastic partners. And I think that if we look at the whole of lending, whether it’s in Scorpio Bulkers, whether it’s Scorpio Tankers, whether it’s in other top tier companies in different sectors, the lenders are taking this very sort of different attitude than before. They’re no longer doing pretend and extend. They are literally – if they’re dealing with management and balance in companies that they see as supportive, friendly and proactive, they are wishing to, let’s say, have a greater support, greater relationship for the future. Whereas those companies that are taking a hostile view to the lenders, it’s very clear that they may get away something today. It’s unlikely they’re forcing people to do different things. But they will probably have to agree to things in their covenants, such as garnishing, which will really inhibit them going forward. And they’re just not going to get these – at least with real goodies that the banks are giving us. It’s incredible what the lenders are giving us. There’s no cost to this. This is, apart from a few administration fees. It’s a really great vote of thanks and support from lending group.
Ben Nolan: Right. And that’s been – so still very much in the sense of a partnership [indiscernible]?
Emanuele Lauro: Yeah. Not being put a gun against anybody. Everything is being done completely voluntarily.
Ben Nolan: Okay, perfect. All right. Well, that does it for my questions. Unless, Hugh, you had anything to add, but, no, that was pretty clear. Thanks.
Emanuele Lauro: Great. Thank you.
Operator: And we’ll take our next question from Herman Hildan with Clarksons Platou. Please go ahead.
Herman Hildan: Good afternoon, guys.
Emanuele Lauro: Hi.
Herman Hildan: Hi. My first question goes – you briefly touched upon this, obviously. As we emerge from a triple-decade nominal low in market values and they’ve started creeping up, obviously, you’re quickly going to be in the very low leverage position. And the first question is, do you have availability within your existing facility to increase leverage as asset prices move up or will that kind of be a refinancing? [indiscernible]
Emanuele Lauro: I would describe it this way, is that the facilities and what the banks have done now for us is related to the position now. But quite obviously, the lenders are supporting the situation today and going the extra mile in the belief of an improving future. So, it’s pretty clear like in every business that to the extent that asset values, cash flow, all of the things move up, then you will be in a position to refinance. It’s so desired.
Herman Hildan: Yeah. And just to kind of confirm, Robert, obviously, a lot of your peers have restrictions due to restructurings on dividends and expansions. Just to confirm that there’s no restrictions on SALT when it comes to ability to pay out dividends whenever that’s…
Robert Bugbee: Obviously, you’re restricted at the moment. You’re not going to pay out the dividend in the situation now. But I think what is correct to say is that we are highly confident to the extent that we are – let’s say, we’ve changed to positive net cash flows, covering the principal, showing the banks that strength and we have a surplus of actual liquidity over obligations. We’re going to be not hamstrung. We will be one of the first to go that position. But I think, hopefully, that’s a little bit away. What keeps up at night at the moment in the dry cargo ironically is too fast a recovery.
Herman Hildan: [indiscernible] people seem to be afraid of a recovery of the market which is a bit unusual…
Robert Bugbee: The recovery will come. And as I said, we had weighed the last three to four months or the last two weeks as clearly well ahead of our own expectations and we’re bullish. So, somebody on the other side of those 14 charters seems to think that the market is okay. Right?
Herman Hildan: Yeah.
Robert Bugbee: I would venture to guess that those 14 charterers know more about demand than you or I do right now.
Herman Hildan: Yeah. Well, and that’s kind of my second question on this, [indiscernible] going on the [indiscernible] markets on coal and so on, and the question is, at what stage do you turn your focus away from extending your coverage run rate through 2020, plus to kind of creating or taking more aggressive approach on your balance sheet in terms of…
Robert Bugbee: I don't know. As Emanuele pointed out, we’ve been focusing on creating this opportunity and now we’re going to focus a little bit on operations. Let’s face it. It was only seven months ago that the dry cargo market was completely imploding. Right? So, it’s a considered response here. You don’t even have to be first. With the amount of leverage you have, you can really – we’ve created the opportunity where we can sit back metaphorically and watch and see how this market develops. There is so much leverage, operating leverage on this company that if we miss the market by a quarter and we’re shown to be idiots doing these charters sometime in February and March because the market is higher, okay. That’s really a luxury problem.
Herman Hildan: Thanks, Robert. Thank you very much [indiscernible].
Robert Bugbee: We have to get real here. We have a stock price that is trading significantly below the NAV position. Like, the first job is not to increase leverage. The first job is to at least secure ties or take advantage of that position.
Herman Hildan: I partly agree. It makes…
Robert Bugbee: You’ve got numerous private experienced dry cargo ship owners acquiring ships at 30%, 40%, 50% more than what we can acquire, buying our own stock in SALT as insiders. That’s really okay.
Herman Hildan: I’ve seen you’ve been doing that lately. So, that, I agree. That’s like buy two ships in today’s markets. Thank you very much, guys.
Robert Bugbee: Thank you.
Operator: That concludes today’s question-and-answer session. I would now like to turn the call back over to Mr. Hugh Baker for closing remarks.
Hugh Baker : Thank you, operator. There will be closing remarks. Thank you all for joining us today. And we look forward to speaking with you soon. Thank you.
Operator: Once again, that does conclude today’s conference. Thank you for your participation. You may now disconnect.